Operator: Good morning. My name is Andrew, and I will be your conference operator today. At this time, I would like to welcome everyone to the BSR REIT Q3 2020 Financial Results Conference Call. [Operator Instructions] Mr. Oberste, you may begin your conference.
Daniel Oberste: Thank you, Andrew, and good morning, everyone. Welcome to BSR REIT's conference call to discuss our financial results for the third quarter ended September 30, 2022. I'm joined on the call by Susie Koehn, our Chief Financial Officer; Blake Brazeal, Co-President and Chief Operating Officer, is also with us and will be available to answer questions following our prepared remarks. I'll begin the call by providing an overview of our third quarter performance. Susie will then review the financials in detail, and I'll conclude by discussing our business outlook. After that, we will be pleased to take your questions. To begin, I want to remind listeners that certain statements about future events made on this conference call are forward-looking in nature. Any such information is subject to risks, uncertainties and assumptions that could cause actual results to differ materially. Please refer to the cautionary statements on forward-looking information in our news release and MD&A dated November 8, 2022, for more information. During the call, we will reference certain non-GAAP financial measures. Although we believe these measures provide useful supplemental information about our financial performance, they're not recognized measures and do not have standardized meanings under IFRS. Please see our MD&A for additional information regarding our non-IFRS financial measures, including reconciliations to the nearest IFRS measures. Also, please note that all dollar amounts are denominated in U.S. currency. The third quarter was another very strong period for BSR REIT. The multifamily sector in general and our BSR product, in particular, continue to remain in high demand. We continue to deliver very healthy financial performance with significant growth across all of our key operating metrics. Same-community revenues increased 10.7% compared to Q3 2021. Same community NOI increased 9.7%. FFO and FFO per unit rose 48.1% and 31.3%, respectively. AFFO and AFFO per unit increased 42.8% and 26.7%, respectively. And net asset value per unit rose 25.6%, reaching $22.32 at quarter end. This healthy performance is supported by continued sound economic fundamentals in each of our markets. Strong rental demand enabled us to capture double-digit rental increases on both new and renewed leases during the third quarter. Rental rates on new leases increased 12.3%, and rates on renewals rose 10.3%, resulting in a blended increase of 11.2%. Overall, our weighted average rent as of September 30, 2022, was $1,460 per apartment unit, an increase of 14.5% from $1,275 a year earlier. It has also represented a sequential increase of 3.4% from $1,412 at the end of June 2022. There are a couple of other developments from the quarter I want to highlight. In July, we began development of Phase 2 of our Aura 36Hundred community located in the Austin MSA. We are developing 238 new apartment units with a total projected cost of $59.4 million. We expect to complete construction late next year. This development partnership is an example of a high-return growth opportunity, sourced by our asset management business and which is already embedded within our portfolio. During July, we also entered into three forward interest rate swaps to hedge $280 million of variable rate debt. Once the final swap commences in early January of 2023, all of our debt will be fixed or economically hedged to fixed rates at a weighted average contractual interest rate of 3.4%. Further, our team continues to effectively ladder our future debt maturities. With no debt maturing until 2024, combined with these hedging activities, our balance sheet remains relatively shielded from exposure to near-term rising interest rates. However, in the last two quarters, a ramp in short-term interest rate increases has temporarily increased our interest costs. As a result, we have narrowed our guidance for FFO and AFFO per unit this year, while leaving the rest of the 2022 guidance unchanged. I'll speak more about this later in the call. On October 3, subsequent to the end of Q3, we announced that the TSX has approved our intention to make a normal course issuer bid. It enables us to purchase up to approximately 3.2 million units or about 10% of our public float over a 12-month period. To date, we purchased and canceled 199,650 units under the NCIB program at an average price of $13.99 per unit. The NCIB is an additional tool that we can use to deploy -- to increase value for our unitholders when appropriate. Finally, I want to discuss a couple of important and management changes. As you probably saw in our Q3 news release, Blake Brazeal is retiring at the end of the year. Blake has been COO of BSR and its predecessor company since 2004. He's been an integral part of the team and we are glad that he will continue to make himself available to us to consult going forward. Starting in January, Susie will assume the role of Chief Operating Officer, and Brandon Barger will take over as Chief Financial Officer and Corporate Secretary. You are all very well likely familiar with Susie. So I don't need to go through her credentials. I have no doubt that she's going to do a terrific job as COO. Brandon has been with BSR and its predecessor since 2014 and has been the Chief Accounting Officer since 2017. He's done an outstanding job in this role and has all the experience and skills necessary to be CFO. I'm confident that he is the right person for the job as we chart out the REIT's next stages of growth. I'll now invite Susie to review our third quarter financial results in more detail. Susie?
Susan Koehn: Thank you, Dan. Same community revenue increased 10.7% in the third quarter to $24 million compared to $21.7 million last year. The improvement primarily reflected a 13% increase in average rental rates for the same community properties from $1,199 per apartment unit as of September 30, 2021, to $1,354 as of September 30, 2022. Total portfolio revenue for Q3 2022 increased 27.9% to $40.5 million compared to $31.7 million in Q3 last year. This reflected $2.3 million of organic same-community rental growth and $9.3 million contribution from property acquisitions partially offset by property dispositions that reduced revenue by $2.9 million. NOI for the same community properties was $12.5 million, an increase of 9.7% from $11.4 million last year, reflecting higher same-community revenue. This was partially offset by an increase in property operating expenses of $1.2 million, which includes increases in the cost of real estate taxes and insurance compared to Q3 last year. NOI for the total portfolio increased 31.6% to $21.7 million from $16.5 million in Q3 2021. Same community NOI growth boosted total NOI by $1.1 million, while property acquisitions and nonstabilized properties increased it by $5.4 million. Dispositions reduced NOI by $1.2 million. As a reminder, nonstabilized reverse to properties that were undergoing lease-up or significant renovation during at least part of the comparative period. FFO for Q3 2022 increased 48.1% to $12.1 million or $0.21 per unit compared to $8.2 million or $0.16 per unit last year. The increase reflects the higher end NOI, partially offset by an increase of $1.2 million in finance costs associated with additional debt from new property acquisitions and the increase in interest rates. AFFO increased 42.8% to $11.2 million in Q3 2022 or $0.19 per unit from $7.8 million or $0.15 per unit last year. The increase primarily reflected the higher FFO partially offset by a spray rent guarantee realized in the prior year of $0.7 million. Net asset value increased 40.2% year-over-year to $1.3 billion from $926 million at the end of Q3 last year. NAV per unit was $22.32 at the end of Q3 2022, an increase of 25.6% from 17.77% a year earlier. Net income and comprehensive income for Q3 2022 was $23.8 million compared to $107 million in Q3 last year. The variance was primarily due to a decrease in the fair value adjustment to investment properties of $185.8 million partially offset by higher NOI and increase in the fair value adjustment to derivatives and other financial liabilities of $95.4 million. The REIT paid quarterly cash distributions of $0.1299 per unit in Q3 this year and $0.1251 last year, representing an AFFO payout ratio of 67.2% in Q3 2020 compared to 82.7% last year. All distributions were classified as a return of capital. Turning to our balance sheet. The REIT's debt to grace book value as of September 30, 2022, was 36.2% or 34.1%, excluding the convertible debentures and the REIT's net debt to adjusted EBITDA ratio was 9.9. Total liquidity was $176.7 million, including cash and cash equivalents of $9.4 million and $167.3 million available under our revolving credit facility. We also have the ability to obtain additional liquidity by adding properties to the current borrowing base. As of September 30, we had total mortgage notes payable of $499.5 million, excluding the credit facility, with a weighted average contractual interest rate of 3.4% and a weighted average term to maturity of 5.4 years. Total debts and borrowings were $718.5 million with a weighted average contractual interest rate of 3.4%, excluding the debentures and 92% of the REIT debt was fixed or economically hedged to fixed rates. The outstanding convertible debentures were valued at $44.3 million at a contractual interest rate of 5% maturing on September 30, 2025, with a conversion price of $14.40 per unit. As Dan noted earlier, in July 2022, we entered into three interest rate swaps to hedge $280 million of variable rate debt. Two of the swaps, which have notional values of $150 million and $65 million at fixed rate of 2.163% and 2.178%, respectively, took effect on September 1, 2022, and mature on August 31, 2029. The third swap, which has a notional value of $65 million at a fixed rate of 2.087% will begin on January 3, 2023 and mature on July 27, 2029. Once this third swap commences 100% of the REIT's debt will be fixed or economically hedged to fixed rate at a weighted average contractual interest rate of 3.4% significantly reducing our interest rate risk. I will now turn it back over to Dan for some closing comments. Dan?
Daniel Oberste: Thanks, Susie. We're confident that we are poised for continued strong financial performance in the quarters ahead. Both employment and population growth in our core Texas markets remains extremely strong, and we expect to continue generating significant growth in the rental revenue. I recognize that some people might be concerned that the rapid growth in rental rates we have witnessed in these markets over the last couple of years is not sustainable. I would note that even with the recent increases we have achieved our rent as a percentage of household income remains highly affordable compared to the national average. Further, interest rate increases while punishing to expenses eliminates or significantly delays homeownership as a housing option for much of our resident cohort. We expect that favorable leasing conditions will continue in these MSAs in the months and years ahead. As you're probably aware, 2022 was the first year in which we provided earnings guidance. The initial guidance we provided in March reflected our positive market outlook. In August, we increased the guidance based on the unprecedented growth we have experienced in our three core markets. We're now narrowing our 2022 guidance for FFO per unit and AFFO per unit as a result of rising interest rates. However, the rest of our guidance is unchanged and we have effectively addressed our interest rate risk by entering into three forward starting interest rate swaps in July. For 2022, we now anticipate FFO per unit of $0.85 to $0.87 compared to our prior forecast of $0.86 to $0.90 and AFFO per unit of $0.79 to $0.81 compared to our prior forecast of $0.80 to $0.84. We continue to anticipate same-community revenue growth of 10% to 12% compared to last year. And same community NOI growth of 12% to 14%. Property operating expenses are still expected to increase 4.5% to 6.5%, which is well below the projected growth in revenue. These projections are on our current portfolio and do not take into account any potential acquisitions or dispositions. We are well positioned to continue pursuing attractive growth opportunities both within and outside our portfolio. The Aura 36Hundred development agreement is one example of how we can creatively generate acquisition growth through strategic partnerships, levering both our asset and property management capabilities. To that end, we also see opportunities to generate organic rent growth from suite renovations. And while acquisitions of stabilized properties from third parties are currently challenging, we're seeing interesting opportunities involving more strategic growth opportunities. But as I've noted before, given the strength of our balance sheet and our outstanding financial performance, we are feeling no urgency to complete any major transactions in the near term. Rather, I would characterize our external growth as patient and disciplined. Overall, we are very pleased with our current competitive position. We believe that we have the right assets in the right markets to maximize returns for our unitholders. And that by executing on our strategy, we'll continue to deliver strong financial performance in the months and years ahead. That concludes our remarks this morning. Susie, Blake and I would now be pleased to answer any questions you may have. Operator, please open the line for questions. Thank you.
Operator: [Operator Instructions] Your first question comes from Jimmy Shan from RBC Capital Markets. Please go ahead, sir.
Jimmy Shan: Thanks. Good morning, guys. Just on Austin, the same-store NOI for the quarter was around 4%. It looks like revenue was fine, but might have grown wider than the rest of the market? And was there anything specific in the quarter that would have caught that.
Susan Koehn: Jimmy, that's strictly related to timing of when we made adjustments to our tax accrual you can expect that to normalize again next quarter or in the fourth quarter. If you look at it on a year-to-date basis, everything is normal there.
Jimmy Shan: So maybe if you could just talk about the Austin market. In the past there's been a lot of supply, but demand seems to have kept up. But I just kind of wondered how you're thinking about that market today? Are we seeing any signs that maybe this time around, we're not going to see it. We're hearing a lot of type job losses, et cetera. So I wonder if you could just comment on Austin.
Daniel Oberste: Yes, sure. I want to make sure that we're talking about the same Austin in the same environment because the Austin I look at has had more jobs created since the pandemic on a percentage basis than anywhere else in the United States. I look at Austin as the seventh most expensive city in the U.S. to afford a mortgage currently on homeownership. And let me just say, the fastest employment growth and population growth market in the country, pound for pound. Same Austin? Everybody -- everybody is not in internally. Okay. So the -- Jimmy, I mean, deliveries in Austin are a little bit shy of our expectations in the beginning of the year. And that makes a whole lot of sense. Some of the new deliveries that occurred in '23, those projects were initiated in, call it, '21, beginning of '22. It takes a while to build an apartment complex. And labor and materials costs, as we've discussed in the past, spiked during those periods. And I think what the developers chose to do is to stretch out their delivery time lines for that new product. And so we saw a few less projects delivered on the market in Austin this year than we anticipated at the beginning of the year. Net absorption in our view, remains fairly healthy. So we like those numbers. Now if we're looking forward into '23 and '24 it's a mixed bag. So next year, if I'm looking at CoStar, CoStar is going to say that Austin has 17,422 units set to be delivered in '23. Now one of the components of that CoStar delivery metrics are planned construction projects. And if those planned construction projects can ever get financed in this environment, they may get off the ground. And if they can construct those projects and half the time it took them to construct projects in the last three years, they may deliver in 2023. That's a big unknown right now. I think what we're focused on is the continuance of net inflow migration and population growth and job growth and the healthy absorption we're seeing in that market. So we're still monitoring the deliveries. I think the one hanging issue is -- the interest rate increases are really forcing these developers to put pencils down on new developments. It makes -- we talked about it last quarter and the environment hasn't changed. A developer just simply can't build a project and borrow enough money to float the development cost risk to initiate that project. So planned projects are breathtakingly large. And certainly in a 0% interest rate environment, we'd be concerned about that. But in this environment, the carry cost of interest probably chills out a bit of the deliveries in Austin in the first half of next year and the second half of next year. Now the deliveries are coming there because people are moving there. And those deliveries that housing delivery units will have to be delivered at some point. If deliveries are elevated in these Texas markets, it means that we continue to see population growth and compound annual job growth in these markets. So high deliveries are a good thing. That's something we've experienced in a lifetime of running properties in Texas. It's not anything we're worried about at this point, but we continue to monitor. As it relates to job activity in the tech sector, Jimmy, I really don't know -- I wish that I could talk to Mr. Musk and ask him if he's planning on laying off people at Twitter in Austin. But here's where my brain thinks too. I think it's pretty logical. The tech offices that were moved to Austin in the last 20 years they were moved to Austin because of the more affordable climate that was generated by the city of Austin. And the business operator made that decision because they could provide their employees with a better lifestyle option in Austin than existed in the prior headquarter location. It would make logical sense that if we saw tech layoffs, we would see layoffs in the higher-cost environments, and that bodes well for BSR. It means that layoffs occur in areas other than Austin. The operator or the tech operator may also decide to accelerate relocations to Austin and accelerate layoffs concentrated in the higher-cost coastal markets. That bodes well for BSR. But right now, we really haven't seen an impact in our portfolio from any recent tech layoff decisions at all whatsoever. And any in any marginal or material category of our company's operations. And on a look forward, we either think it's neutral or positive for our investors' portfolio there.
Jimmy Shan: Thanks for that. And maybe just a broader question then on financials. As we look to 2023 then, how do we think about the same-store NOI growth for that year.
Daniel Oberste: Same-store NOI growth for 2023. Our thought is that we're early in the budgeting process. And we continue to look to every category. I wouldn't feel comfortable with the team answering '23 NOI guidance until we get to 2023 and well into it. But high level, we continue to be very, very optimistic about this portfolio and its capabilities. We see rent trends continue to flow positively for our investors. We see high occupancy and institutional-grade assets located in if you take that Texas Triangle, Jimmy, it's the 15th largest economy in the world. So we feel pretty good about our prospects for 2023. At this time, I probably wouldn't feel more comfortable going into any more detail.
Jimmy Shan: Okay. Thank you.
Operator: Your next question comes from Sairam Srinivas from Cormark Securities. Please go ahead sir.
Sairam Srinivas: Thank you, Operator. Congrats on a good quarter. Just looking at the occupancy numbers on a same-store basis, I know it's a while trends have kind of grown at a healthy level. Occupancy seems to have declined on a year-over-year basis. Would you say that's mainly reactionary to higher rents? Or are you also seeing a broader -- somewhat of a slowdown in terms of appetite for people to actually rent out apartments in the U.S.
Daniel Oberste: Sure. Blake, do you want to take a stab at that one?
Blake Brazeal: Sure. To refresh everybody on the last couple of quarters, we've been discussing our strategy concerning occupancy/rent. And the third quarter, just to start off, it met our expectations on occupancy of what we thought we'd do. The small decreases in occupancy in the quarter were primarily driven by our replacing in-place leases, leases at higher rate strategy. In addition, as most of you know, summer months have the highest number of unit turns, sometimes translating on longer make-ready days. But our occupancy in October has already rebounded and is trending even higher for November. So I don't think there's any pushback from a -- customer standpoint. Our leasing activity was really strong for the Q3. Our same-store leases are up year-over-year, and same-store new leases were up year-over-year. One thing that I would tell everybody that is still in play is that when you really look at sequentially and year-over-year, or calling people that are calling on leases, new leases from the Internet to walk-ins is up and 20% of our new leases which was up over the last quarter came from people moving in from out of state. That accounted for 47% of -- I mean, excuse me, 47 states moved into Texas just last quarter. So that continues to be a strong, strong metrics for us. Our leasing traffic continues to be one of the highlights that we have going on. And I expect next year that we'll be looking at a good occupancy rate will be in the 95% to 96% range.
Sairam Srinivas: Thanks for the color Blake, that was really helpful. Just probably kind of digging deep on that one. Are you seeing any specific markets or the five markets you guys have performed better related to others? And could you just probably give a bit of a market-by-market color on.
Blake Brazeal: I couldn't quite understand the question. Can you run it by me again?
Sairam Srinivas: Yes, of course. So obviously, your comments on the broader portfolio and the strength of the market was really helpful. But just looking at it from each of your markets, are some of these markets looking relatively more attractive to others, if you could just comment on it from a market-by-market basis?
Blake Brazeal: More attractive from a -- rent growth standpoint or a move...
Sairam Srinivas: Yes. Rent growth as well as occupancy standpoint.
Blake Brazeal: Yes. The -- I mean, they're all -- the top three that Dan discussed have -- they're all in a range, and there's none that really sticks out more than others, but Dallas is really attractive right now. And Austin, obviously, is real attractive, as Dan talked about. And I would say Houston made quite a jump in what I'm seeing more traffic in the Houston area. And from a rental standpoint, we're improving in that area too. So kind of dovetail on what Dan talked about, I mean, these three cities continue to just move in people moving in at that percentage I gave you, 20% of our new leases it's not just tilted in any area of the main -- the leader for the third quarter was Dallas. But all three of them are showing the same trends as far as people moving into them. and our traffic count and what we're able to do as far as the rents. But I want to -- I do want to stress this one more time to you guys, that will be my last shot to do this. But there is -- there's -- this is like a puzzle, and it started being a puzzle in the second quarter. And the puzzle entails occupancy and rate increases and -- we're pretty -- we spend a tremendous amount of time on this internally with some very, very sophisticated models as well as some very, very high intellect people who are working on this. And I think if you really look at what we've been doing and you look at the sequential growth of our revenue and the growth in general of our revenue -- and what I see happening in October and even into my models for November, I think the strategy will continue to work on revenue being driven by the traffic that we're getting. And I truly believe that this will continue after I am gone, because we've got a great staff. Susie has worked hand in hand with me for a lot of years. And I think she is very capable, and I don't expect to see any drop-off whatsoever in what we're doing.
Sairam Srinivas: Thank you for that, Blake, and all the very best for your next phase. And my last question, perhaps was just on the transaction market. If you guys could just comment on what you're seeing there in terms of cap rates and is there any expansion you're seeing right there?
Daniel Oberste: Yes, sure. I mean the Austin cap rates are probably the bid-ask spread between that is probably a little bit tighter than other markets, but I mean let's just go ahead and talk about the market for cap rates in general. We continue to see a bit of price discovery by a bit. I think I'm -- that's the wrong word. We continue to see more price discovery going on in the market than I've ever seen in my career. So that is to say, Sai, the spread between the sellers asking -- the sellers asking cap and the buyers bidding cap. I've never seen it this wide. It could be 2% to 3%. And it makes sense when you think about that. I want to remind everyone who's listening and everyone who reads these comments that fundamentally, the operations of a multifamily business in the United States, specifically in the Sunbelt and particularly in Texas, have never ever been better. So if you own that product, it is just falling off the shelves, right? Rent gains, margin gains, cash flow increases, significant amount of volume. Why would you ever want to sell that, right? I mean -- so you're going to demand a premium in the form of a cap rate compression in order to sell those future gains in revenue, right? And so let's take that premium on the seller interest at 3.5% cap, right? Now if you're a buyer, you're willing to tolerate some negative leverage to get into a fast-growing market. But the current interest rate environment just practically prohibits you from buying at a 3.5% cap, right? So you might need to have a cap, let's say it's 5.5% cap. That might be the cap rate you need to have in order to make your deal make sense financially. So when you have that wide of a spread between your bid and an ask, you have a precipitous drop in volume. And that's what we've seen in the third quarter and that's what we've seen in the beginnings of the fourth quarter. You have an unwilling seller, right? And why should they be willing? They're earning money hand over fist and you have a buyer that can't financially -- that can't build a financial model to take enough risk to acquire something. So here you're having BSR, someone who's already bought and sold everything they need to buy and sold. You got $175 million in cash and waiting to deploy and you got a very patient and disciplined management team. The only people that are selling in this market are people that need to sell. And the only people that are buying in this market are people that need to buy. Now I think it's a little bit better in these Texas markets than perhaps in some other high up and down markets that we've talked about in the past, perhaps in the west or a little bit west of Texas and perhaps a little bit south of Georgia and east of Alabama. I think that we're seeing a bit more volatility in some other markets as far as cap rate trades are concerned. But in Texas, you got an unwilling seller and for good reason and you've got a buyer that just simply can't finance the acquisition at this time. It doesn't mean they're not interested. It just simply means that they're not willing to take the risk to buy at a 2% negative cap rate leverage. We think that over time -- and look, the math supports us and I think every one of our competitors would say the same thing in this market, including competing buyers. In the event, cap rates move up to the bid, which is apparently where the markets in the U.S. and Canada are buying BSR as well as every one of our competitors, substantial discount to NAV, right? Significant forward-looking cap rates. If -- we are seeing no evidence of any trades whatsoever in that range ever nor have we in the last 10 years, right? But okay, let's live in that environment. That would mean that rent increases go away. And I don't think any one of -- I don't think us or any of our competitors are saying that. That's number one. And that would mean that the rising interest rate environment that we've seen for nine months in the last 15 years would continue to persist in this and then look forward. And I don't think central banks are telling us that. So it's our viewpoint and the viewpoint of, I would say, everyone who transacts in real estate that in this environment, volume goes down that cap rates and growth are going to win, right? And that if cap rates grow up, that's because you're going to get the resulting growth that comes along with it. Austin is a great example of that.
Sairam Srinivas: Right, thanks for the color guys. That was really helpful. We'll turn it back.
Operator: Your next question comes from Chris Koutsikaloudis. Please go ahead sir.
Chris Koutsikaloudis: I'm just curious what you see kind of being the longer-term trend for rental rate growth for your portfolio? And maybe how quickly you would expect growth to moderate towards that level? It sounds like your comments are pretty bullish. But as we look kind of over the longer term, wondering what your thoughts right there?
Daniel Oberste: Chris, thank you. I was hoping that somebody would sense that our comments are pretty bullish. Yes. So long-term trends to me and to our team are supply and demand driven, right? So here are some headwinds, just gross headwinds to long-term trends being positive, deliveries, right? And we talked about the mitigating situations and factors related to deliveries as it takes 1.5 years to two years to build something to compete with us. We see existing deliveries down. And we see a built-up dam on new deliveries. Now that may impact us at the tail end of next year or moving into '24 or '25. But right now, we don't see any reason to not be extremely bullish about this portfolio and our markets. Let's talk about tailwinds, headwinds and tailwinds. I'm about the middle one, that's rising interest rates. Rising interest rates are certainly going to affect cap rates when you lose growth. We don't see growth looping going away anytime soon, right? But here's what it affects more than us, single-family homeowners. So the average mortgage in the United States, the average 30-year fixed rate mortgage increase or rate was 7.08%. That's a 30-year rate, right? And what that means is more renters. The U.S. homeownership rate current near-term peak was in the second quarter of 2020, and it hit 67.9%. In the third quarter, that rate dropped 190 basis points to 66%, and it's potentially and permanently on its way down to 60% to 62%. What that means is more renters. What's impacted us with cap rates can be experienced on the lever to home ownership, right? And we don't see a lot of supply. I think those two big factors, we don't see a significant amount of supply net of absorption that would cause us to be anything but bullish about the future of BSR and specifically our three markets. If you want me to break it down to if you want me to break it down to percentage growth, I think next year is very healthy for us. I think we'll exceed expectations that this market has for us right now. I think I'm more confident about '24 than I was a quarter ago. So plugging into the CoStar math, we've seen nothing but increases there on kind of a 3-year run rate of health in our sector and specifically in multifamily in the United States and the State of Texas. Percentage-wise, it's too soon to tell, but our viewpoint is it's better than everybody thinks it is today.
Chris Koutsikaloudis: Fair enough. And I guess maybe just on the comments regarding the cost of home ownership and now that's risen. Wondering if you have this statistic and if not, no big deal, but just the percentage of move-outs where those people are actually moving into homes and purchasing homes.
Daniel Oberste: Yes. Blake, I think that number sits with us. And it peaked probably in the first quarter, which makes a lot of sense. I think we saw around 200 move-outs for new homeownership. And that makes sense, you had low rates, right? And you had a lot of people want to buy homes, that makes sense. And you would also see that rate kind of decelerate throughout the course of the year as mortgage interest rates increased from their 3%, 2.5% number to 7%. And our trend lines followed. But with that said, Chris, it's always looked at about 15% to 17% of our move-outs are coming from new homeownership. We think the trend will be that, that shrinks rather than increases in the near- and medium-term future.
Chris Koutsikaloudis: Appreciate it. Thanks very much. I'll turn it back.
Operator: The next question is from Kyle Stanley from Desjardins. Please go ahead sir.
Kyle Stanley: Thanks. Good morning. I was just wondering and kind of along the same line question there, have you seen any material changes in turnover across the portfolio? And would that suggest maybe what's driving the acceleration in your renewal rent growth?
Daniel Oberste: Are you talking about move in, move out new units versus renewals?
Kyle Stanley: Yes. I guess generally, just the turnover trend, I mean, I think the kind of turnover annually in the U.S. I'm just wondering, have you seen that trend any lower based on kind of the comp that you just provided? And then is that driving the upgraded renewal trend.
Daniel Oberste: It hasn't. I think the upgraded renewals -- and just by reference for the group, you're talking about the 12-plus percent renewal increase sequentially.
Kyle Stanley: Yes.
Daniel Oberste: Yes. It's good to point out that the distinguishing factor with U.S. and Canadian multifamily is rents can go up at the termination of a lease in the United States. So as a result, our new tenants that we go and seek pay an increase in rent but our renewals are also paying an increase in rent up to a certain amount. And it's an economic decision of the landlord whether to take the risk to lose that resident in order to attack a higher rate on a new tenancy. And perhaps turn the unit and incur a month's loss of occupancy. So all of that being said, if we go back to what we discussed at the beginning of the year, what we told you was -- we were going to take that year-end occupancy, and we were going to compress it a bit while we attack the rates. And then we told you, as the year goes on, we're going to build that occupancy right back up to a year-end 95% to 96% level that Blake spoke about earlier. And that's -- our viewpoint on that hasn't changed. Now how that bleeds through your financials? So it turns into a lower occupancy in Q1 than Q2 right? a little bit of maintenance over the summer season as we see high leasing velocity and high traffic. And then you see a sequential build back up in occupancy beginning in the fall that's precisely what this company has done, and that's how this portfolio has performed. The second thing that occurs is a little bit of a bleed through on turnover costs and expenses that roll through recurring CapEx and OpEx over the summer months. That's precisely what this company has exhibited. And then on the tail end of the year, you're going to see us really push for renewals moving into next year. And that print on receiving higher rate increases on renewals. Sure, that's also correlated with a higher renewal percentage than we enjoyed perhaps in Q1 or Q2 as we were attacking rates. It ranges by month. Blake, I would say it's -- you might want to confirm the turn number, but I would say we're probably looking at about 57% to 62% renewals right now in the September numbers. Is that -- would you say that's accurate?
Blake Brazeal: That's accurate. I will add, we signaled this would happen two quarters ago. It's exactly -- at this point, it's playing out exactly the way we thought it would.
Kyle Stanley: I completely agree. Okay. Just one more for me. Just -- how are you thinking about capital allocation here? I'm wondering, you mentioned obviously the wide bid-ask spread, so a little bit harder to get anything done on the external growth side. But has it changed now that maybe the NCIB is a bit more active? Or just, I guess, generally, how are you thinking about your capital allocation as we go into kind of next year?
Daniel Oberste: Yes, sure. So in our view, an NCIB or buying back your shares is most analogous to a new property acquisition without taking any execution risk whatsoever. So when we see our shares down at this opportunistic level, and we can buy a share for -- to go back to my earlier comments, the bid, right, that remarkably low bid and we don't have any execution risks, then we'll opportunistically pursue acquiring back our shares. That creates growth for our shareholders. And I would -- it's somewhat defensive to our shareholders' value. We've said that over and over again, we'll continue to do it. Our viewpoint on NCIB hasn't changed. What's changed is the fact that we're traded at a wider cap rate spread than any of our Canadian peers right now. That's what's changed. So when that happens and we walk into our markets and we see our product being traded for well below where our stock price is traded. It's an easy decision for us to allocate our capital into buying back shares. So long as that continues to exist, we will continue to buy back our shares.
Kyle Stanley: Okay. That's it for me. Thanks.
Operator: Your next question is from Himanshu Gupta from Scotiabank. Please go ahead sir.
Himanshu Gupta: Thank you, and good morning. So I just joined the call, so I'm not sure if couple of my questions have already been addressed, so I'll ask any which ways. So first question is what do you think is a mark-to-market rent opportunity or lease to loss in your portfolio as of Q3?
Daniel Oberste: Sure. We like the number at about 10% to 12%. Would you say that's fair Blake?
Blake Brazeal: Yes, that's fair.
Himanshu Gupta: Okay. So that's your 10% to 12% as of Q3. Next question would be -- and again, I'm not sure it's already addressed. Like what are the rent growth expectations in 2023? Or put differently, has that changed or come down or gone up in the last quarter when we spoke.
Daniel Oberste: Well, our numbers are pretty positive, Himanshu. Our rent expectations for the next quarter and moving into '23 or they continue to exist. I want to clarify a point that -- it seems to be a fun topic in the market. The concept of decelerating the concept of rate peaking, right? When -- I think it's -- I think we've got to be very careful when we say these things. Decelerating doesn't mean declining. It means rates are increasing, but at a lower rate than they were increasing. So I think if we go back and we're sitting in any year prior to 2023, right, or 2022, and you have a company that you're underwriting that's producing double-digit rent growth on the margin turning into double-digit, significant double-digit NOI growth, and I think the numbers we reported significant cash flow growth that results in significant NOI or significant NAV growth. I think everybody is jumping up and down. But now it seems like the topic turns into decelerating a rate peak. We think the rate environment is very healthy. we're conducting our renewals for January and the month of October. I mean we do that 90 days out. We're extremely bullish on the performance of this portfolio. And we're not seeing anything in our eyes that looks like a rate peak or declining rates. What we might be seeing is rate growth that's lower than 15.1%, which is what Blake told you it was this time last year. It might look like 10% to 12%. And a landlord can collect that over anywhere between 12 and 18 months, which is what we said this time last year.
Himanshu Gupta: And my last question is IFRS cap rate is around 4%. If I look at your financials, 10-year treasury is also around 4%. I mean, obviously, today it's a bit lower there. So do you think the multifamily cap rate will happen treat that as soon spread to treasury? Or any thoughts on how you look at cap rate evaluation from your standpoint?
Daniel Oberste: Any thoughts on how we came about our NAV cap rate of 4.03%.
Himanshu Gupta: That's right. Yes. That's fair enough. Yes. That's the question.
Daniel Oberste: Yes. So our process to establish a NAV cap rate has not changed. We look at the transactions that took place in the market. We look at their underwritten cap rate. And in many cases, Texas is a nondisclosure rate, so it's tough for people to read into that. But in many cases, we know the buyer and the seller. So in a lot of those cases, we talk to the buyer and the seller confidentially and we use that process. We have different silos within our company that determine their own viewpoint of cap rates. They work independently and they work with our external advisers to arrive at a cap rate. So faced with someone who thinks that cap rates may go up and has their opinion versus someone who is actually in the market seeing these transactions take place and providing you their opinion. I think I'm going with the latter, not the former.
Himanshu Gupta: Got it. And maybe the last follow-up question is, I mean, based on your experience, like over the years, does multifamily cap rate trade at a 7 spread to 10-year treasury? And is it like 100, 200, 0? Like how would you define that or look at that if at all? .
Daniel Oberste: Yes, I think a fine trend. You've got to take it in blocks Himanshu. So take 1982 to 2021, if you believe we're in a great reset environment. that's a fair block to see where the average spread in multifamily cap rates have occurred. We've talked about this over the years. We saw a compression to that historic spread with our prior portfolio, and we saw it as an opportunistic time to rotate into the portfolio we have right now, which just as a reminder, is by my viewpoint, the youngest public multifamily rate in the sector. So when we look at that, we think that a trend you see is that cap rates in smaller markets associated with older, perhaps B or C properties will expand faster than those cap rates in larger markets and what you can describe as B+ to A assets. So you see a bit more rigidity in cap rates in, for example, Houston, which is what is the third largest MSA in the country. and probably a little bit more elasticity on cap rates of perhaps Toledo for a C project at rents of $800 per month. We would expect those cap rates to expand in this environment, right, a lot further than they would against the U.S. treasury for what we own, which is institutional-grade assets and three as a combined some of the three fastest growing markets in the United States when you bring them together that are young and brand-new. So we think that spread for our type of product relative to others, remains as tight to that treasury as possible.
Himanshu Gupta: Thank you. And once again, thanks for taking my question. As I told you I joined at the end. I'm sure most of them would have been already addressed. But thank you. Thank you guys. I'll turn back.
Operator: There are no further questions at this time. Please proceed.
Daniel Oberste: That concludes our call today. Thank you for your interest in BSR REIT. We look forward to speaking with you again after we report our 2022 fourth quarter and year-end results next year. Thank you, everyone.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines.